Operator: Good morning, ladies and gentlemen and welcome to the Brinker International Third Quarter Earnings Call. At this time, all participants have been placed on a listen-only mode and the floor will be open for your questions and comments following the presentation. Now I would like to turn the floor over to your host, Joe Taylor. Sir, the floor is yours.
Joe Taylor: Thank you, Dave. Good morning everyone and welcome to Brinker International's third quarter fiscal 2016 earnings call. I'm Joe Taylor, Vice President of Investor Relations. Joining me this morning are Wyman Roberts, Chief Executive Officer and President of Chili's and Tom Edwards, Chief Financial Officer. Our call this morning will begin with comments from both Wyman and Tom after which we will open the call to your questions. Before beginning our comments, please let me remind everyone of our Safe Harbor regarding forward-looking statements. During our call, management may discuss certain items, which are not based entirely on historical facts. Any such items should be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. All such statements are subjects to risks and uncertainties which could cause actual results to differ from those anticipated. Such risks and uncertainties include factors more completely described in this morning's press release and the company's filings with the SEC. On the call, we may refer to certain non-GAAP financial measures that management uses in its review of the business and believes will provide insight into the company's ongoing operations. With that, I will turn the call over to Wyman.
Wyman Roberts: Thank you, Joe and good morning, everyone. Thanks for joining us on the call today. As you saw in our press release this morning, Brinker reported earnings per share of $1, an increase of 6.4% over prior year. Comp sales were down 3.6% for the quarter, with Chili's down 4.1% and Maggiano's up 0.2%, and we're pleased with the continued progress at Maggiano's, we believe in the strength of the brand and encouraged by the business model we've developed and the potential to grow it. But the third quarter was a tough quarter for Chili's. We did introduce our sizzling steak platform which drove strong internal metrics and narrow our growth to the category during the quarter but at the end of the day it wasn't enough to drive the incremental traffic we needed. Our takeaway is, we have to be even more aggressive with our value proposition and the message and media to breakthrough in this environment. So today we'll talk a little bit about the headwinds during the quarter, but we'll focus most of our time on how we turned up the intensity on our approach to deliver topline in both the near term and longer term to reclaim Chili's position of strength. The last time we talked with you, we were already into the third quarter and we were anticipating delivering closer to flat results. So what made this quarter so much tougher than expected. First, we thought the industry would actually improve overall and they got softer. Probably because of a tougher weather lap over last year and also because of the continued economic morays [ph] that's created a drag on the industry. At the same time QSR launched their latest round of pricing strategies with even stronger value offers that we believe had an impact on the category. From a regional perspective, we saw further decline in the oil markets in Q3 which impacted us more so than others, heavily penetrated in these markets. While these factors did create challenges for us during the quarter, we believe the key to regaining momentum lies within our control, specifically the quality and value of the experience that we promote and deliver to our guests. The sizzling steak platform we introduced during Q3 offered a high quality product with innovative presentations and flavors that drove significant preference at a price point of $11.99 but we needed to do more with our value proposition and messaging to driving traffic. So now we've come to the market with even more compelling offer, new flavor profiles on our world famous baby back ribs along with fries, salad, and the dessert for just $10.99. And unlike the third quarter when the media rates were lower than last year, we're kicking off the rib promotion with media comparable to last year and we brought back our iconic baby back ribs jingle with the contemporary approach to share the new news with consumers. This is just the first step as we continue to increase intensity of our strategy into the new fiscal year. Our focus as we move towards fiscal '17 is to invest back into the brand in several key areas to get us back to taking share, growing the business the right way and delivering results through sustainable topline growth. So first, we're recalibrating our value proposition as evaluate how our 2 for 20 program stands up against today's competitive landscape. We're testing some aggressive options to deliver the most compelling value proposition that makes good sense for our business. Second, we'll push even harder on culinary innovation as we continue to enhance our core equities and bring new product to the market that broaden our reach in the field. Third, we know we have to shake up our marketing strategy and breakthrough more effectively. So we're going to invest back in the media more heavily and launch a whole new created campaign to reintroduce the brand to consumers. Next, we're dramatically expanding our direct marketing capabilities and reach as we integrate our loyalty program with the plenty coalition which reaches tens of millions of consumers nationwide. Our plan is to go live during the first quarter of fiscal '17. And finally, we've talked to you about the importance of the bar and how we position that part of our business to increase brand relevance and differentiation. Our bar strategy is designed to deliver both short and long-term results. In the year for the year, we build short-term momentum in first quarter to happy our offering and promote our new line of draft beers and expand our dominant Margarita positioning. Longer term, we'll layer on investments in the atmosphere to make the entire experience even more relevant. With the increased level of innovation coming to our food and atmosphere, I'm excited that the leader of this charge is the newest addition to our team, John Cywinski, Executive Vice President of Strategic Innovation. John has extensive experience in the restaurant industry as the former CMO of Applebee's, his time at McDonalds, and most recently, as President of KFC, USA. He is a great addition and we're thrilled to have his expertise and enthusiasm on the team. Before I hand the call over to Tom, it's important to note that we know we have work to do, but we also know we have a great brand that we're proud off and the consumers love. We haven't lost brand appeal, we just need to make ourselves more relevant in today's environment and we know what we need to focus on to make that happen. And now we know we have to be significantly more aggressive in our approach. We're committed to investing in a way that we believe can keep our business model intact and continue to deliver the cash flow and dividends our shareholders have grown accustomed to while growing the topline and starting to take share like we've been known for in the past. And now I'll turn the call over to Tom who will walk you through the financials. Tom?
Tom Edwards: Thanks, Wyman and good morning, everyone. Today, I'll highlight the major drivers of our Q3 results. I'll also provide a broader perspective of our fiscal 2016 performance and share a few preliminary thoughts as we look forward to fiscal '17. Looking at Q3, I believe there are two key takeaways. First, we've narrowed our issues to one challenge, traffic. And as Wyman said, we're committed to taking more aggressive actions to address this challenge and grow comp sales. Second, our flexible business model continued to delivered bottom line results and free cash flow. We reported Q3 adjusted earnings per share before special items of $1, that's 6.4% increase over prior year. And we generated free cash flow of $223 million year-to-date which supports our investment in the business and ongoing return of capital to shareholders including repurchasing 2.6 million shares in Q3 for $126 million. Moving to sales, total company-owned comp sales declined 3.6 points. Maggiano's comp sales improved to growth of 0.2% building on momentum coming out of a strong holiday season. Chili's comp restaurant sales decline 4.1% driven by a 4.9% decline in traffic and a 0.3% lower mix, partially offset by 1.1% increase in price. Traffic was the big change versus our expectations reflecting softer industry performance, weaker oil markets and the needs for even more impactful value and innovation efforts on our part. Restaurants in markets with meaningful exposure to the energy industry, about 17% of our system, were down 7.6% during the quarter, about 100 basis points lower than Q2 and 430 basis points below the rest of our system. Chili's price increase of 1.1% includes 1.7% of menu pricing, partially offset by 60 basis points of higher expense, primarily related to loyalty point's redemption. This is a reduction from prior quarters. We've taken further steps to reduce this cost and expect to see better results ahead of our transition to planning in Q1 2017. Mix performance reflected continued positive results from a similar combination of promotions, innovation, merchandizing and in restaurant contest that were successful in driving add-on sales in Q2. This performance was offset by the negative mix impact of value offerings such as our new sizzling steaks. We feel confident in our ongoing initiatives to drive add-on sales and we expect to see a balance in mix as we invest in value and innovation to drive traffic including our Q4 ribs bundle. Now let's turn to Q3 cost and margin performance. A key factor for the quarter was lower corporate general and administrative expenses. G&A was $30 million, a decrease of $5 million versus prior year, primarily due to lower incentive-based compensation. While we certainly don't want to rely on this type of savings, our incentive plans are tightly aligned with our targets and part of our overall business model designed to deliver bottom-line performance. Restaurant margin was lower versus prior year but in line with our expectations including having some favorable adjustments from last year. On a reported basis, overall restaurant margin decreased 150 basis points to 17.4%. Excluding the anticipated mix impact of the Pepper Dining acquisition, restaurant margin was down 120 basis points driven by 110 basis point increases in restaurant labor and a 20 basis point increase in restaurant expense, partially offset by a 10 basis point improvement in cost of sales. A 110 basis point increase in restaurant labor expense was driven by higher wage rates, up slightly more than 2%, an increase in employee health cost as we lapped favorable prior year adjustment and deleverage on lower sales. Excluding the impact of deleverage and the prior year employee health adjustment, labor would have been up, around 30 basis points. The 10 basis points improvement in cost of sales reflects 40 basis points of favorable menu pricing and 10 basis points of favorable commodity pricing, partially offset by three basis points of negative mix. Commodity pricing primarily benefited from lower burger meat, cheese and seafood cost, partially offset by higher steak produce and poultry cost. Currently, we're 85% contracted for commodities in Q4 with 62% contracted in Q1 of fiscal '17. Now that we've covered highlights for the current quarter, I'd like to provide some perspective on how we've achieved our EPS results through Q3 given lower topline performance compared to our original expectations. Our EPS performance reflects contribution from many factors, including strong commodity favorability, resilient margin management by our operations team, prudent corporate cost control including lower incentive compensation cost, and support from our ongoing ability to generate solid free cash flow enabling us to buyback even more shares than planned throughout the year. With year-to-date free cash flow of $222 million we now expect to exceed original free cash flow guidance of $250 million to $260 million by $30 million to $40 million. As we've continued to deliver earnings, we also continue to invest in the business through food innovation and value initiatives like our sizzling steak platform. We've also invested in key growth initiatives including our new to go and delivery platforms as well as the upcoming plenty rollout. As we look to Q4, we're continuing these efforts with yesterday's launch of our new ribs bundle. However, we now expect our comp sales trajectory to be a little more extended given our Q3 experience. We anticipate seeing a sequential improvement in Q4 but not yet returning to positive comp sales growth. Taking these anticipated improvements into account, we expect annual earnings per share to be near the bottom end of our guidance range. Now I'd like to look ahead to fiscal 2017 but we'll provide detailed guidance on our August earnings call. I'd like to provide a few preliminary thoughts on how we're planning for the year. From an earnings perspective there are couple of items that are helping earnings in 2016 but we'll not carry forward into our planning for fiscal '17, namely, the 53rd week in the lower incentive compensation. We estimate these items combined for a little over $0.40 of benefit in 2016. What we do expect to carry forward into 2017 is our ability to generate strong free cash flow and our consistent capital allocation policy. We expect to grow earnings of a normalized 2016 base after accounting for the 53rd week in incentive compensation. Next year we'll also include more investment and top line driving initiatives as we plan to return to positive comp sales growth. As some of you know, we are hosting an Investor Day on June 9 in New York. That will be a good opportunity to hear more about our near and long-term plans to grow our brands and provide consistent total shareholder returns and return of capital to our investors. We look forward to seeing you there. And with that, I'll open up the line for questions.
Joe Taylor: Dave, we'll start taking questions please.
Operator: Thank you very much. Ladies and gentlemen, the floor is open for questions. [Operator Instructions] We'll take our first question from John Ivankoe. Please denote your affiliation and then pose your question.
John Ivankoe: Sorry about that, JP Morgan, thank you very much. So just -- clarification just on the earnings guidance, I think you're giving, so -- take $0.40 out of the bottom end of 2016 and I think you're committed at this point to grow '17 or I just want to make sure that we all heard the same thing in terms of that soft earnings guidance from '17.
Tom Edwards: Thanks, John. Yes, you take $0.40 off and our long-term EPS growth target remains 10% to 15%. We'll provide a lot more specifics in August. We will also be assessing a level of investment but we still do intend to grow the EPS.
John Ivankoe: Okay, fair enough. And then secondly, with obviously hindsight being 20-20, I mean you guys have done a lot down the labor side, really over the past couple of years in terms of really moderating those cost increases that you would have seen. And G&A has obviously been significantly controlled as well, I mean have you had the moment of clarity that you may have contributed to some of those traffic declines at the store level? I mean was there anything that you perhaps could have done at the cost side that could have influenced some of the traffic on our performance, again with hindsight being 20-20?
Wyman Roberts: Hi, John, Wyman. We track both, internally and externally our guest satisfaction metrics as well there is a lot of brand attributes and if we see any weakness in how the guest are kind of reacting to what we're doing in the restaurant, we're very sensitive to that, and we have, we've been growing those. So we really do believe that what we're dealing with now is a combination of competitive reactions, some competitors out there doing some things that are new to the market, both in our category as well as kind of what's going on in QSR from really more pricing value perspective, as well as some issues going on with some of the demographics specifically the millenials and how they're kind of shifting their behavior. And so what we have, again back to hindsight what we haven't been as aggressive as we needed to be it's probably addressing some of that. So when we talk about like our bar initiative, we think we should have probably been, even though our alcohol mix is now at an all-time high and we continue to grow that part of our business, we haven't positioned ourselves as effectively as we could have against that target that we know is there for us, so that I think is our bigger opportunities. It's not what we've done, it's more what we haven't done that is in front of us as the big opportunity.
John Ivankoe: Thank you.
Wyman Roberts: Thanks, John.
Operator: Thank you. We'll take our next question from Andrew Strelzik. Please announce your affiliation and pose your question.
Andrew Strelzik: Hi, BMO Capital Markets. Thanks for taking the question. I wanted the first to ask. I was a little surprised, I guess to hear you talk about the QSR value impact in the business. Where are you seeing that and what gives you confidence that that's playing a role?
Wyman Roberts: Hi, Andrew. Well it's not absolutely clear yet. It's still a little early, but primary data and if you just look at what's happening in the QSR segment and the success that multiple players have had in this last quarter with these bundle offers, and then you've some of the softness that's kind of translated over into the casual dining's category, I mean I don't think that's coincidental. So we'll get a little bit more clarity as the data gets analyzed through MPD and others. But I don't think you can offer the five for four offers that are out there and not impact lunch across the whole category. I mean there's just such a strong value proposition being played out there. And we don't think that that's sustainable or it's a long term issue, I think it's more of those are limited time offers, but they also are interesting that the QSR category is kind of showing us that they're rethinking how they deliver value and their value propositions and I think that's a great lesson for us to consider as well in terms of, hey is our value proposition, things like our 2 for $20 anchoring value, is it still as effective convened the value proposition across the broad spectrum of consumers that has been in the past or do we need to kind of reconfigure that or shake that up to just create some excitement in the casual dining category.
Andrew Strelzik: And then on the media spend, how much lower was the third quarter and it sounds like to the extent you're willing to comment on it? It sounds like next year will be a different creative but also more spend, is that right? Any guidance on how to think about that level of spend in 2017?
Tom Edwards: Media in the quarter was down moderately. What we're looking to do next year is do an optimal marketing mix between what we've done this year and reallocating some of the dollars that we spent on the loyalty program back into marketing on an advertising side. So we think it's important to get the message out for all of the new value and activities we'll be promoting.
Andrew Strelzik: Great, thank you.
Wyman Roberts: Thank you.
Operator: Thank you very much. We'll take our next question from David Carlson. Please announce your affiliation and pose your question.
David Carlson: Hi, KeyBanc Capital Markets. Just a really quick question. What is your targeted leverage ratio moving forward? Just really kind of get a sense of the sustainability of the share repurchase program at this point. Thanks.
Wyman Roberts: Sure, David. Our target leverage ratio is in the triple B minus range, and it does vary by rating agency. But broadly speaking it's three to three and a half times leverage and we're fairly comfortable where we're at right in the middle of that range. Does that answer your question Dave?
David Carlson: Yes, thank you.
Wyman Roberts: Thank you.
Operator: Okay. We'll take our next question from Jeff Farmer. Please announce your affiliation and pose your question.
Jeff Farmer: Wells Fargo and thank you. You touched on this one a handful of questions. But from your perspective what did drive that surprisingly weak March same store sales performance across the casual dining segment. So again not really drilling down on Chili's but more broadly, you touched on some macro things but what was going with the consumer in March that lead to that pretty aggressive deceleration relative to January and February?
Wyman Roberts: Well, I think we talked about that. There is also, it has been a really choppy quarter, Jeff, I mean the shifts, when you look at the data period to period, week to week, we're pretty dramatic more so than I've seen in recent history. Some of that is just some of the crazy weather and where it's been hitting. We started the quarter off even with some really volatile weather, tornadoes in Texas in December just unheard of stuff and then obviously some of the stuff you see in Denver now which obviously they get weather. But when you start closing the airport in Denver it's fairly rare occurrence. So I think that's contributed to some of it, but most of it is a combination of just an economy that's still rather weak with not a whole lot of energy behind it, and then you start to get some really powerful kind of value proposition flowing out of QSR and I think that had an impact.
Jeff Farmer: And then just one more if I may. Again, follow up, you're talking about recalibrating the value proposition and then you referenced 2 for $20. Any idea that you can give us there in terms of what direction you're going with that? So what does a recalibration of a value proposition at Chili's potentially look like?
Wyman Roberts: Yes. I mean I don't want to give you any specifics on that. I just think it's time for us to reevaluate, to evaluate everything we put out there with regard to the consumer offerings that specifically we rely on to drive a value proposition, and just make sure we're getting the power out of those messages that we have when we initially roll them. So some of these platforms are getting five, six years old and they need to either be refreshed I think to get some energy and excitement to remind the consumers about what a great proposition they are or we need to find new ways to do that, and again everyone turns into QSR call but I think that is what you're seeing in some of these rebundlings if you will of their offers. And our rib bundle that we just started yesterday is an example of that in a limited time offer. But we can give you half rack of ribs and fries, a salad and a mini molten for $10.99, we think that's an example of kind of a rebundling and maybe the kind of value proposition that maybe more compelling. So those are just a couple of thoughts.
Jeff Farmer: Great, thank you.
Wyman Roberts: Yes, Thanks Jeff.
Operator: Thank you. We'll take our next question from Karen Holthouse. Please announce your affiliation and pose your question.
Karen Holthouse: Hi, Goldman Sachs. It's actually a question on the cost side, it's not the top line or side of things. As we're looking onto 2017, how should we think about the evolution of labor and commodity inclusion, how that may play in the decision for value, not only for price point value specific promotions, but just draw attention to take price on the top line. Thanks.
Tom Edwards: Hi, Karen. It's Tom here. So if you look at 2017, obviously we don't have details to provide but we do anticipate there still will be a labor headwind into the year. Minimum wage is obviously will continue to go up and unemployment is fairly low. But we've already thought through that in our planning inclusive of latest changes in California, at the same time we're working on initiatives to help address that and offset it. On the commodities side, we think we're heading into a little bit more benign overall commodity environment. We've got a great tailwind from commodities in 2016. We don't expect that type of tailwind in '17, more of a normalized type of basis. We see a couple markets being a little more favorable like poultry and some more stable on the cheese side, some a little higher on pork. So it's going to be a little bit of a mix on that side, but we feel like we've got a good handle on it and already starting to put contracts in place to manage that. In terms of pricing, we believe we'll be in the same range that we've historically been in and this year it's been in the 1.5% to 2% and I believe we could carry that forward for menu pricing as we look ahead at our long term model.
Wyman Roberts: Hey, Karen. I would just add one thing, and that's one of the, I mean obviously the downside to some of the minimum wage activity and the higher hourly cost of labor are obvious to the penal but some of the positives are we get a workforce that's maybe a little stronger and we also get a workforce that doesn't turnover nearly as much at some of these, and so what that allows us to do in places like California is really save on the cost of training and actually get like servers that are maybe a little more skilled and we can leverage that. And then when you take that and you couple with our embrace of technology which we already have with us on the table, we think we can find some ways as Tom mentioned to leverage those things with technology to address some of these cost to a more efficient process, and that's what were aggressively pursuing as we walk into '17.
Karen Holthouse: Thank you.
Wyman Roberts: Thanks.
Operator: Thank you very much. We'll take our next question from Jeffrey Bernstein. Please announce your affiliation and pose your question.
Jeffrey Bernstein: Great. Thank you very much, Barclays. Two questions, just one on the market share front. I know in the release you talked about the goal of capturing market share. That term gets thrown around a lot. I was wondering if you can offer some context behind that, whether maybe what your current market share is, what it was or from a reference maybe in years passed. Actually how do you even define that whether you get that internally or from some sort of third party. Just trying to dimensionalize what your market share is today versus where it's been and then how to follow up.
Wyman Roberts: Jeff, Wyman. Yes so market share, we typically look at market share through NPD and we tend that from Chili's perspective use their definition for bar and grill, and so that's where we kind of derive our market share data and the competitive set is defined by them. So that keeps it fairly consistent overtime, and our market share position I think is relatively stable in that category, running right around 10% or so. So that's the, now what we also talk a lot about is gaining market share and that's really when we look at it on the shorter term or week to week basis. We're talking about black box and the casual dining numbers that they kind of produce and do we compare to that group. So there is a couple of different ways that we kind of evaluate how we're doing relative to the market if you will.
Jeffrey Bernstein: Understood but that 10% that you're running now doesn't seem like, or I should say it seems like that's been fairly stable so it's not as if that was 100 of basis points higher in years past for any reason.
Wyman Roberts: Yes, I think that when you look at the category as a whole and the MPD data it's much more stable for us. You got other people losing market share and others gaining it. But so I think we're really probably more focused day in, day out on the black box NAP [ph] data to really understand, okay how are we doing relative to that competitive set in our shorter term kind of tactical executions.
Jeffrey Bernstein: Understood. And then my follow up question was that, I guess Tom you mentioned the Pepper Dining acquisition and what the impact was from a margin standpoint. I was wondering if you can kind of broaden that a little bit and talk about the strategy, how you think about that now with appropriate balance of the company and franchise ownership and it does seem like most of your peers moving were franchise relative to your recent acquisition which I can understand as often times opportunistic buying and selling stores. But which seem more prudent overtime to be heading where asset like specially as your franchise is even running better restaurants or putting up better numbers. So I'm wondering how you think about that mix and whether you might be more inclined to consider reverse from that and hadn't gone with the franchise overtime.
Wyman Roberts: Sure. So just to start with the Pepper Dining acquisition itself, the comp sales for Pepper Dining have been running better than the overall numbers in the quarter margin. Well it was lower in the company as we knew it would be. Pepper Dining's margin actually improved during the quarter. So our investment strategy there is something if you're really comfortable with and we believe it's driving a great deal of value so very comfortable with the investment and as we said when we purchased the 103 restaurants opportunistic, wasn't planning on doing further manner to increase our company owned levels. On the other hand, moving more to franchise, I think we are doing that a little more organically now. We are growing our franchise number of restaurants with existing and new franchise partners and is seen we are adding new restaurants with them on a quarterly basis expect to add significant number this year. Right now we don't have any plans to do anything further but we always want to make sure we assess anything that can create value. Right now we believe the best way to create value is to get Chili's growing comp sales again. With the initiatives we are going to be talking more about an investor day into next year.
Jeffery Bernstein: Got it, thank you very much.
Operator: Thank you we will take our next question from Stephen Anderson. Please announce your affiliation and post your question.
Stephen Anderson: Steve Anderson from Maxim Group. Wanted to ask about the breakdown of lunch versus dinner sales i.e. reference the quick service effect on your sales. I just wanted to see as well if you see any cross traffic from some of your peers in the industry that may have had issues with food safety, you know what I am talking about.
Wyman Roberts: So I think lunch versus dinner, I think the lunch business has been under a little more pressure throughout the year and again I think it is a combination of something's happening within the category and outside the category. We have a really kind of unique strategy to help address some of the issues the consumers have with casual dining in terms of speed and that's where we are going to leverage our technology, innovate technology as well as other technology that we are bringing to the market to help address some of those issues around speed but yes, lunches and dinner both are under pressure a little more at lunch and again we think driven both by what's happened within the category and some of the more recent things outside the category.
Stephen Anderson: Okay. Thank you.
Wyman Roberts: Thank you.
Operator: Thank you very much. We will take our next question from Joe Buckley. Please announce your affiliation and post your question.
JoeBuckley: Thank you. Bank of America, Merrill Lynch. Two questions, in time under preliminary fiscal 2017 guidance can you break down the $0.40 with the 50 during week is contributing and how much the lower incentive count is making up for that 40?
Wyman Roberts: Sure, we noted a little over $0.40. It's about fifty-fifty between the 53rd week and the incentive comp across that forty some cents. And, I would note the incentive compensation is not even across all of our team members. In the restaurants we are still paying a very reasonable bonus and I think that's a critical point understand keeping people engaged at the restaurant level.
JoeBuckley: Okay. So it's more than incentive comp on the G&A number and could you update us what you are thinking on G&A, you have given us news of dollar increases, do you think it will actually be down again in the fourth quarter?
TomEdwards: So the incentive comp is at the G&A level as well as above the restaurant level and to be clear some at the restaurant and in terms of the G&A of the full year. Will we have an updated guidance for every single item so we just focus more on the EPS range but yes, directionally it will be lower than where we last guided on the G&A side.
JoeBuckley: Okay. And just one more, could you just update us on the loyalty program. I know you said you will be synced to Plenti in the first quarter. Will the entire loyalty program be shifted to Plenti or just update us where you are on the loyalty program?
Wyman Roberts: Sure, I will do that Joe. Hey Joe, it's great to hear from you too, so we are transitioning. So what's happening right now is the technological linkage, if you will between our My Chili's rewards, our in house loyalty program and the Plenti system is being developed, so those bridges are being programmed right now and all the databases are being setup to be connected and so that's why it is taking us a little bit of time because obviously when you are trying to connect these two huge systems up there is some work that has to be done. So we are investing in all of that programming and getting that done and that should, you know right now we think that transition will happen this summer and we will be over to Plenti based program in probably sometime middle to late first quarter. In the meantime we have been fine tuning and if you will, recalibrating the loyalty program back down in terms of the cost structure and now it's really our biggest challenge with the loyalty program like Chili's rewards, it was just too rich. So we have taken some steps to kind of reduce the cost there more appropriately, it gets totally recalibrated when we move to Plenti because Plenti has a whole different basis and it basically turns us, gives us what I would consider the biggest direct marketing database in the industry the most flexible because we have this system and it will be a marketing tool that we will be able to leverage ongoing and I think it's going to be very powerful. It's just taking some time to get there and some investment to do that but it's well worth it. Especially given the ongoing inflationary cost of traditional media that's you know, significantly above our pricing flexibility and that's why it's important for us to find alternative ways to market and we think this is going to be a real powerful tool for us. Similar to what we were doing with our email database but now on a scale of multiple times larger and we know consumers care about it. We have got 5 million people now signed up for loyalty and we have got about 20% of our transactions engaged in the loyalty that tell us that engage a loyalty component. So you got scale already and you got engagement. We just have to get the fundamentals right around how to drive incrementally right around that and when you open it up to a database it's multiple times larger we knew we got something there that is going to be powerful.
JoeBuckley: Okay. That's helpful, thank you.
Wyman Roberts: Thanks Joe.
Operator: Okay. We will take our next question from Howard Penney. Please announce your affiliation and pose your question.
Howard Penney: Hi, thank you for the question, Hedgeeye Risk Management. Wyman when I hear words like invested value and investing in the business and all those terms that you are trying to do to try to restart growth again and comps going, it suggests it's more of a business reset than grow earnings. And if I look at valuation of Brinker relative to another large peer, the market sort of suggests it can't grow either so time to maybe re shut the business for future growth and not worry about growing earnings next year?
Wyman Roberts: Howard, I think we can do both. We will calibrate with you as we kind of fine tune what the future looks like with that means and how that plays out. I think the reason we can do both is I mean I just talked to you about loyalty. This year has been a year of investment and learnings in the marketing world on multiple fronts so we really haven't grown very aggressively this year and there has been investment, it hasn't been necessarily done the way we would have ideally liked it to do in hindsight but it's done and it's in the sink and so now we should be able to leverage that. So well I know we can do both, it's a matter of scale but we are pretty optimistic but I do think we do have to address some of these fundamental issues that we talked about and be more aggressive about moving towards it. Now we have and our capital helps us a lot as well.
TomEdwards: And Howard this is Tom here. Just to be clear on the growth to base we do think it's important and talked about little over $0.40 to adjust our base in 2016 and we will grow from that and that growth includes the top line contributing for the bottom line which we haven't seen this year so I think that's a key component of how we are looking at next year and delivering growth also at normalized base.
Howard Penney: Okay. Thank you.
Wyman Roberts: Thanks Howard.
Operator: Thank you. We will take our next question from Nicole Miller. Please announce your relation and pose your question.
NicoleMiller: Good Morning. Piper Jaffrey. I was wondering how nimble is the menu you marketing pipeline. For example; were ribs planned as the current promotion or is that something you pulled forward. I just wanted to understand the balance of that pipeline in terms of core offerings, IPOs and value going forward.
Wyman Roberts: Hey Nicole, you know we have an innovation pipeline and it has a standard calendar and we try to adhere to that. Obviously when we find ourselves either with an idea that we didn't have on the calendar that we think is really powerful, we can move it forward or if we find ourselves in need of something that's more aggressive if you will then we can move it forward. We can do that with a lot of understanding that there are operators involved in restaurants that have to plan and product will have to be moved, yes there is flexibility in owning most of our restaurants as we probably have more flexibility than in our franchise, the fully franchise system just because we can communicate, control and take these decisions more rapidly because we making them for most of the U.S. based restaurants anyway. So I would say it's more of an art and we try and stick to a plan but we can't pull things forward and ribs was probably one that was accelerated. Always been an idea for us but we have accelerated it.
NicoleMiller: One last quick follow-up. I believe earlier in the conversation you said you thought the industry was going to improve and I just want to understand why do you think that now? Maybe you could give us examples or rank order of what items this sequential improvement is based upon. Is it something about comparison or less QSR, just counting our tax as being less or something you are seeing in April? I don't want to put words in your mouth but I just want to get a little bit more color on that please, thank you.
Wyman Roberts: Yes, so I think you might be putting words in our mouth. I mentioned that we thought that in the third quarter that the industry was going to see an improvement and it actually got softer and the reason we thought it would see improvement was, it was a fairly tough winter last year in certain parts of the country and that was the primary reason and we anticipated with some of the economic activity of during the lower unemployment that we would see the consumer start to spend a little more freely. So between the weather lap and the expectation that the economy was going to support a more robust spending, we anticipated it would get better or remain relatively confident but definitely didn't see it getting softer.
NicoleMiller: So you have guidance for this current quarter to be a sequential improvement, did I understand that correctly? Thanks for all.
TomEdwards: Hey Nicole, we guided for a sequential improvement but still negative in the quarter.
NicoleMiller: Okay. I guess I was acting more towards but I won't believe it a question of why that's going to happen. Is that macro or something that was not what I meant but thank you?
TomEdwards: Okay. Well for us we see sequential improvement coming through the third quarter and then into the fourth. It really has more to do with what we are planning on bringing to market. So again it starts with things like the Red Bundle, media plan that's more comparable so less drag on lower media wage moves to some other loyalty and direct marketing programs that we have and we had a softer lap so our fourth quarter last year wasn't as aggressive if you will in terms of a lap as our third quarter was. So those are just a couple of things Nicole that are giving us optimism around why we will continue to see sequential improvement going forward.
NicoleMiller: Thanks again.
TomEdwards: Yes, thank you.
Operator: Okay. We will take our next question from Peter Saleh. Please announce your affiliation and pose your question.
PeterSaleh: Great, thanks. BTIG. I just wanted to ask has your thought process changed around potentially monetizing the real estate assets that you guys may have and using that to re-purchase shares given how low we are today?
TomEdwards: Peter this is Tom. Our policy and one we are so comfortable with is to be on a mortgage on an ongoing basis as we generate free cash flow and we don't use to invest in the business or pay dividend and then buy-back shares. On the monetization side I think there is some real estate there but that based on tax basis and other considerations that it's not a material amount to be able to effect so we are focused on just continue to drive the business and generate that free cash flow and continue to be in the market.
PeterSaleh: Great and then just on the task, any update on the functionality there or any changes to the functionality going forward over the next couple of quarters that could help you guys either cut some costs out of the system or drive some top line?
Wyman Roberts: Yes.
PeterSaleh: Okay.
Wyman Roberts: I am not going to give you a whole lot there Peter because you know who ask is, we were the first and so being the first we the longest we know them you know about most about how to make that work hard for us, we believe but we are by no means the only big company out there now embracing it and so I wouldn't want to share any of our insight as to what we want to do next and how we think it would work best for us on a public call. But we definitely see the power of that technology and we are working to make it work hard and hard for us every day.
PeterSaleh: Okay. Can I ask if there's going to be changes to that functionality? Should we expect it this year or next year?
Wyman Roberts: This year, you mean the fourth quarter?
PeterSaleh: Correct.
Wyman Roberts: No not a lot in the fourth quarter. I mean there's things we can do with the equipment as it is that we will probably be working on in the fourth quarter but most of the enhancements, obviously our loyalty program runs through and it's a proprietary program so our transition to Plenti and our loyalty program is the base but its proprietary to us so as we move from an internally based My Chili's rewards to Plenti based program that's another big enhancement if you will that GS [ph] will provide us so we will have access to this massive database through GS [ph] that nobody else will.
PeterSaleh: Great, thank you very much.
Wyman Roberts: Thank you.
Operator: Thank you very much ladies and gentlemen, we are showing no further questions in the queue. I would like to turn the floor back over to your speakers for any closing comments they would like to make.
Wyman Roberts: Well, listen we just appreciate your time and energy today. We obviously realize we got work to do but we are encouraged about the plans we have and we look forward to seeing you in June so thank you again and have a great day.
Joe Taylor: Thanks Dave, and thanks for everyone for participating this morning and I would also note in addition to the June Investor Day that our next quarterly earnings call is scheduled for August 11. We look forward to talking to you all at both of those events. Thank you.
Operator: Thank you very much ladies & gentlemen and this concludes today's presentation. You may disconnect your line and have a wonderful day. Thank you for your participation.